Operator: Good morning, and welcome to Element Fleet Management's Third quarter 2025 Financial and Operating Results Conference Call. [Operator Instructions] And you are reminded that this call is being recorded. [Operator Instructions] Element wishes to caution listeners that today's information contains forward-looking statements, the assumptions on which they are based and the material risks and uncertainties that could cause them to differ are outlined in the company's year-end and most recent MD&A and annual information form. Although management believes that the expectations expressed in the statements are reasonable, actual results could differ materially. The company also reminds listeners that today's call references certain non-GAAP and supplemental financial measures. Management measures performance on a reported and adjusted basis and considers both to be useful in providing readers with a better understanding of how it assesses results. A reconciliation of these non-GAAP financial measures to IFRS measures can be found at the company's most recent MD&A. I would now like to turn the call over to Laura Dottori-Attanasio, Chief Executive Officer. Please go ahead.
Laura Dottori-Attanasio: Good morning, everyone, and thank you for joining us. Q3 was another strong quarter for Element with double-digit net revenue growth year-over-year and record financial performance across key metrics. This outcome underscores the ongoing success of our strategy and the commitment of our team to deliver meaningful outcomes for our clients and shareholders. We deepened relationships with existing clients and won new mandates across all regions, adding 38 new clients in the third quarter and expanding share of wallet with 278 new service enrollments. As more clients turn to Element to unlock efficiencies, our strategic advisory services team delivered by identifying $349 million in fleet cost savings opportunities this quarter, 46% of which were actioned demonstrating the tangible value that strengthens client loyalty. We continue to accelerate our digital transformation and deliver a more connected client experience. Earlier this year, we launched a new Element mobile app, simplifying fleet operations and enhancing the driver experience. Pilot feedback has been extremely positive, and we're preparing for a broader rollout in the coming months. Our new digital ordering platform is also progressing well marking an important step in automating key client processes. Since establishing Element Mobility, our division focused on next-gen fleet solutions, we've advanced partnerships that showcase our technology leadership. For example, we announced a new partnership with InDrive, one of the world's fastest-growing ride-hailing companies to help optimize their fleet operations globally. This collaboration demonstrates how Element's digital capabilities and partnerships are shaping the future of intelligent mobility. Additionally, our technology platform, Autofleet earned industry recognition as Fleet Management Solution of the Year in the 2025 AutoTech Breakthrough Awards, a well-deserved honor highlighting our team's innovation and impact. We passed the 1-year milestone of our Dublin leasing center that was launched in August of 2024, and the results have been strong. By streamlining processes and automation, we've achieved greater efficiency and scalability in our leasing operations, enhancing the client experience and contributing to strong net financing revenue in recent quarters. This is a clear example of how our strategic initiatives like Dublin and Autofleet are driving financial benefits and service improvements. In summary, we made exciting progress on the digital front, improving client experience and financial performance, all thanks to the dedication and collective effort of our global Element team. Our third quarter achievements put us on solid footing to close out 2025 with continued strength. And with that, I'll now turn the call over to Heath to cover our financial results.
Heath Valkenburg: Thank you, Laura, and good morning, everyone. Q3 marked another quarter of strong performance for Element and highlights the solid progress we've made on our strategic priorities in 2025. Notably, in the quarter, we delivered double-digit growth in net revenue, adjusted operating income, earnings per share and free cash flow per share and once again produced record results in each of these important metrics. With that, let's turn to our Q3 financials, which I'll speak to on an adjusted basis. Net revenue reached $306 million, up 10% from last year, supported by strong contributions across all revenue categories. Services revenue was up 6% year-over-year, reaching $156 million. This growth is attributable to higher utilization from new and existing clients and solid growth in all of our geographies. Net financing revenue grew 12% year-over-year to $130 million due to the combination of higher net earning assets in the U.S. and Mexico and the solid performance of our leasing portfolio. Results were further bolstered by funding efficiencies in the quarter, which absorbed a higher cost associated with our preferred share redemptions and Autofleet acquisition. Continuing the momentum that has been demonstrated in 2025, our core NFR yield, which excludes gain on sale, expanded to 4.85% in Q3, up a further 8 basis points quarter-over-quarter and 41 basis points year-over-year, highlighting the strong execution of our leasing business and funding initiatives. We syndicated $632 million of assets this quarter, down 37% from last year. Despite the reduction in volume, syndication revenue totaled $20 million, an increase of 20% year-over-year. Our syndication yield of 3.2%, expanded more than 150 basis points versus last year, a reflection of the demand for our syndication products, favorable mix and the benefits from the reinstatement of 100% bonus depreciation in July. We originated $1.7 billion of assets in the quarter, in line with the results from Q3 2024. The sequential dip in originations reflects normal seasonality tied to OEM retooling ahead of a new model year production in the U.S. and Canada. Importantly, originations in Mexico were at a record level of $342 million in the quarter, a clear reflection of the strength of our franchise in the country. Our momentum in vehicles under management resumed in Q3 with VUM increasing 1% quarter-over-quarter and 2% year-over-year, led by growth in service-only category. This increase is expected to further support services revenue in the coming quarters. As Laura mentioned, new client acquisitions in the quarter were steady to last year, reflecting stable underlying demand that we expect will translate into higher order volumes ahead. Adjusted operating expenses remained well contained at $129 million, flat quarter-over-quarter and up 9% year-over-year or 6% excluding Autofleet. The year-over-year increase reflects continued investment into our business to advance our intelligent mobility ecosystem, enhance digital capabilities and maintain our leadership position in the industry. This resulted in an adjusted operating margin of 58% and earnings per share of $0.33, with these key metrics expanding by 30 basis points and 14% year-over-year, respectively. We remain focused on driving internal efficiencies and sustaining positive operating leverage as our business continues to scale. In Q3, we generated an adjusted return on equity of 18.8%, up from 16.9% in 2024, demonstrating the continued progress of our capital-light strategy. With respect to capital management, we returned $61 million to shareholders through dividends and share repurchases during Q3. Year-to-date, we have repurchased 4.1 million common shares, representing $87 million of capital deployed. Looking ahead, we intend to renew our normal course issuer bid in 2026 reaffirming our commitment to returning capital to shareholders. These actions were underpinned by continued strong free cash flow generation with adjusted free cash flow per share of $0.42, up a robust 17% year-over-year. Our ability to consistently generate growing free cash flow continues to support our reinvestment into the business and the ability to deliver meaningful return of capital to shareholders. As of September 30, our debt-to-capital ratio stood at 75.7%, well within our target range of 73% to 77%. In summary, we delivered strong financial results this quarter, consisting of robust revenue growth, positive operating leverage and record profitability. We are entering Q4 with positive momentum and a clear line of sight to finish 2025 at or above the high end of our guidance ranges in all metrics with the exception of originations as was communicated last quarter. We look forward to providing our 2026 financial guidance and dividend outlook alongside our Q4 results release in February. Thank you. Operator, we are now ready to take questions.
Operator: [Operator Instructions] And your first question comes from Stephen Boland with Raymond James.
Stephen Boland: I've said this a couple of times. I guess to know Jeff Kwan, people move up the list here a little bit. So just the first question is, Laura, you usually pretty good about giving new client wins. You mentioned in the -- I think you said in the deck, the conversions of self-administered fleets. I'm just wondering if you can give a little more detail.
Laura Dottori-Attanasio: Yes, absolutely, Steve. Thanks. As I mentioned, this quarter, we did see some great commercial traction once again with 38 new clients and share of wallet, we had 270 new enrollments. We continue to go after the various segments that are in the self-managed space and winning market share. And I'd say, once again, this quarter, it's pretty evenly mixed where we're winning market share. So it's about 50-50 again this quarter from winning market share and self-managed fleet. So we're feeling good about not just what we've won, but the opportunities that are before us as well.
Stephen Boland: Okay. Great. And the second question is really on syndications. A great return on the yield. I'm just curious about how you managed the syndication volumes this quarter. I mean in the first half, you talked about deferring for the bonus depreciation to kick in. So could more have been done this quarter? I mean are you managing the amount that you're doing right now? And should we expect a similar yield in Q4 and maybe volumes?
Heath Valkenburg: Yes. Steve. So we -- our approach to syndication remains unchanged. Primarily, we use syndication as a tool to manage our balance sheet. And with our debt-to-capital metric coming in at 75.7%, which is well right in the middle of our targeted range, we've syndicated enough to manage our balance sheet. And then what we do is we look to focus on optimizing economic value. And you can see that with an increase in the yields in the assets that we hold on book with the core yield being up 8% this quarter. And then also, as you said, really strong syndication yields on the assets that we have syndicated. In terms of what's driven this -- the higher yield, the demand for our product is still very, very strong and the return of the bonus depreciation coming in clearly gave us an uptick on the yield, which we expect will continue on. And then there was also some product mix benefit that we had in the quarter.
Operator: And your next question comes from Jaeme Gloyn with National Bank Financial.
Jaeme Gloyn: Yes. Good results on the net financing revenue yield. Just wanted to get maybe some of your perspectives on the sustainability. Can it continue to tick higher from here? Or this is, I think, almost, if not the all-time high for this net interest margin effectively. Just trying to get a sense as to where that could potentially go with some of the moving parts.
Heath Valkenburg: Jaeme. So you're correct in that the net financing revenue we delivered for the quarter was a record and the yield is -- or on the core yield is a record. Excluding the impact of any gain on sale, we do see that there is further increase that we can drive through that number. The leasing business that we set up to maximize our returns continue to perform well. And then on the financing side of things, we continue to see opportunity for us to decrease our cost of funding as we continue to mature our platform. And then the Mexico business that grew strongly in the quarter had some strong yield as well, which drove that up. So really pleased with the result. And we expect that there is more to do on that line.
Jaeme Gloyn: Okay. Great. And then in terms of the order backlog shrinking this quarter, your commentary in the press release suggesting that you have pretty high confidence and client momentum coming back. What are some of the underlying, I don't know, metrics or drivers or conversations you're having that gives you that confidence that we'll see order volumes pick up in the upcoming quarters? And is it -- is that sort of timing like a 2026 event? Or are you already seeing that flowing through today?
Heath Valkenburg: Yes. So in terms of the client order backlog, the reduction in Q3 is cyclical. So we always see a reduction in Q3 with strong originations higher than orders. And that's with the OEM model changeover. So we always see a drop in the auto volume during that period in Q3, and then it does pick up in Q4. In terms of why we're confident of that to continue to expand, it's the comments from Laura at the top in terms of the new client wins. We saw VUM return to growth this quarter with a 1% increase in the quarter, 2% increase year-over-year. And the -- those things will combine to drive higher orders or set that are to pick up in Q4.
Operator: [Operator Instructions] Your next question comes from Graham Ryding with TD Securities.
Graham Ryding: Maybe I could start with just Autofleet. Anything you can quantify around the potential impact here of that InDrive win, either revenue or just would you expect this to build over time? And then maybe just commentary Autofleet broadly, are there some tangible sort of revenue contributions coming in from that acquisition now that you're -- you have that in the business more than 1 year?
Laura Dottori-Attanasio: Sure, Graham. Happy to take that one. So I won't comment specifically on revenue per client, which we wouldn't normally do that. But it is, I'd say, a great sign for us. I mean, from where I said, it's like a proof point of how Element Mobility that we talked about last quarter is really going to allow us to, I'm going to say, broaden our scope beyond traditional fleet management. And so this will help strengthen us as a global leader in intelligent fleet management. So from where I said it's going to help amplify, I'm going to say, our digital moat. So that is good with InDrive, we expect to see more of these types of things with Element Mobility or Autofleet. And for Autofleet, it's been just a little over a year now that we acquired the team. It really has been a home run for us. Not only did we pick up, honestly, phenomenal team and a great tech platform. We are going to be able to drive things, and we've seen it. So for Element, we have been able to really move forward with more speed, more cost efficiency. So it's been great as it relates to decreasing our cost of technological digitization, automation advancement. So that's a positive. And then for Autofleet on its own. It's doing really well, not only with win like InDrive but others that it is profitable on its own. And so we are very happy with where we're at and feeling very confident about where we can go together.
Graham Ryding: Okay. Great. And then maybe I could pivot to just the Services revenue growth. You flagged that higher utilization in the quarter was driving some growth, but it seemed like growth from sort of VUM and penetration on the services side is not there right now. So maybe what do you see the business needs to do to sort of get that back to double digits like you were previously?
Heath Valkenburg: Yes, Graham. So the first thing I'd say is on a year-to-date basis, excluding FX and one-off items, revenue is up 10%. So we are still driving double-digit growth. Specifically for Q3, while we saw an uptick in the VUM, a lot of those vehicles are actually onboarded in September. So the revenue they contribute for Q3 was relatively modest. And we expect that those vehicles that we onboarded will see an uptick in Q4 as long as -- as well as rather additional VUM we expect to bring in Q4. So last quarter, I raised 1 large client win that we had that represents approximately 1% of VUM growth. That's actually not in our Q3 numbers. So we'll likely see that come into Q4. So 1% VUM growth in Q3, minimal impact to service revenue, but we'll see that come through in Q4, plus additional clients that we're onboarding in Q4 will set ourselves up to continue to grow our service revenue.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Laura Dottori-Attanasio for closing remarks.
Laura Dottori-Attanasio: Thank you, operator, and thanks, everyone, for joining us today. Looking ahead, our strategic priorities remain clear. So that's to provide exceptional value to our clients, advance our digital leadership and deliver sustainable growth for our shareholders, all while we stay true to our purpose and to our values. And so I really want to take this time to thank our global team members for their commitment and to thank our shareholders, our analysts and our stakeholders for your continued support. We look forward to speaking with you again on our next quarterly call in February.
Operator: This brings today's conference call to a close. You may disconnect your lines. Thank you for participating, and have a pleasant day.